Kiira Froberg: Good morning, and welcome to Kemira's Q4 and Full Year '25 Earnings Conference. My name is Kiira Froberg, and I'm the Head of Investor Relations at Kemira. Here with me today, I have our President and CEO, Antti Salminen; and our CFO, Petri Castren. This will be actually Petri's last and 50th earnings webcast as Kemira's CFO. Before we start the actual presentation, I would like to remind you that our presentation today includes forward-looking statements. Next, Antti will cover our full year '25 and Q4 highlights, after which he will discuss Kemira's group level performance. After that, Petri will talk about business unit performance and cover financials in a bit more detail. And then in the end, before the Q&A, Antti will discuss Kemira's strategic focus areas in 2026 and also talk about our financial outlook for the year. But now Antti, the stage is yours. Please go ahead. Thank you.
Antti Salminen: Thank you, Kiira. Good morning on my behalf as well. It's great pleasure to present Kemira's '25 results as well as, of course, in a bit more detail the Q4 results. And the year was challenging for us. Markets were soft and uncertain, which is visible in the numbers. So really challenging market environment, which then resulted in a clear revenue decline for the full year as well as for the Q4. But I'm very proud of the organization. We managed to maintain our profitability in a very healthy level. Operative EBITDA being over 19% for the full year, which I think is a really good achievement under these market conditions. And it enabled us to continue to invest into our strategy execution. So building the future growth for the company. And basically, in water business, we announced earlier in the year the acquisition of Water Engineering in North America, which is a really good platform investment into a fast-growing water services market in North America. We also invested or started an investment project in Helsingborg, Sweden for building an activated carbon reactivation capacity, which is part of our strategy to step into the fast-growing micropollutants removal market. And we have now been working for more than 6 months with the Cambridge U.K.-based AI material science company, CuspAI to significantly accelerate and basically change the way innovation is done on this area. And also that work is focusing on this fast-growing micropollutants area. So soft markets, but good profitability performance, which enables us to continue to invest into our growth initiatives. Also, our customers have been very committed, and I have to thank all the customers for the long-term partnership and commitment. We had all-time high Net Promoter Score, which I think tells about our capability to be dependable and trustworthy also in the volatile uncertain market environment. And our employees continue to stay very engaged, which, again, is the platform on which we can build the strategy execution going forward. So despite of the challenging environment, putting a lot of stress and pressure on the organization, the organizational changes that we've been going through, the organization is committed and engaged. We also made good progress on our sustainability targets. This is in the heart and core of what we do and our strategy. So we increased our score in the CDP, both in Water Security and Climate Change. reaching the A- level, which is -- which has been our target. We increased our score in EcoVadis rating, and we continue to reduce the CO2 emissions exactly according to our SBTi commitments. Again, really solid improvement there. And on February 20, when we will publish our Sustainability Statement, we will publish the new positive water impact target, which will be then guiding our way forward in terms of water stewardship. Then if we look at the Q4 in a bit more detail. So as mentioned already, the markets were soft and this market softening and uncertainty actually accelerated towards the end of the year. As a result, the Q4 revenues were 8% below the previous year, and the revenues declined in all the 3 business units. Operative EBITDA margin, however, solid at over 18% and actually increasing in Packaging & Hygiene Solutions, where basically we have continued the self-help program to improve the underlying profitability of the business and results are visible there. The strategy execution continued, as I already mentioned, and actually accelerated during the Q4. So the Water Engineering acquisition happened in Q4. And then we were working during Q4 on the first bolt-on acquisition on this platform, AquaBlue, company, which we then finalized the acquisition in early January. So this is first in the row of several such bolt-ons that we are planning to build on the platform of Water Engineering. And we have a really healthy pipeline, which we are working on. So basically kind of executing a programmatic acquisition-driven growth in the water business there. And then the latest announcement just a couple of days ago, announcing the acquisition of SIDRA Wasserchemie in Germany. And this is then strengthening our position in the most profitable and resilient part of the business, i.e., the coagulant business in the Europe. So basically building on the core, strengthening the Water Solutions business core part, strengthening our position in Western and Central Europe. So market softness accelerated in Q4, but we accelerated also our actions to continue to invest in the future growth of the company. Revenue, as you see, basically, again, just the numbers kind of proving the acceleration of the softening of the market towards the end of the year here. And it's good to remember here that there's also quite significant FX impact in these numbers, and Petri will soon elaborate a bit more on that. And then looking at the profitability, healthy, over 18% profitability, as I mentioned in the Q4. Q4 typically is the weakest quarter for us. There's the underlying seasonality of the businesses you'll see it in the previous years as well. So under these conditions, I'm happy with -- happy about the ability of company to maintain this level of profitability. And especially happy to see that our self-help actions in the Packaging & Hygiene Solutions are bearing fruit, and we have been improving the profitability of that business. There's quite some items affecting the comparability in the Q4, totaling more than EUR 30 million, mostly coming from the restructuring and streamlining costs. So working actively to basically balance the softer top line and keep the profitability on a healthy level. And those costs are there. And again, Petri will soon elaborate a bit more on those. And it also included then the transaction cost of the Water Engineering transaction. And then as a result of this -- all this, the full year '25 earnings per share totaled EUR 1.18. And if we then look at, finally, the financial long-term targets that we have set. So clearly, we are below the organic growth target, driven by the soft demand from the markets, but we are within our target range, both in terms of operative EBITDA and return on capital employed. Of course, the capital employed going closer to the target threshold. There you see clearly the impact of the acquisition of the Water Engineering, which is then basically increasing the capital employed there. But with this, I will pass it on to Petri, who will elaborate a bit more on the financials for the very last time for Kemira.
Petri Castrén: Let's assume that my voice is audible. So as Antti said, we made good progress in our strategy execution during the year and also during the first quarter. The other headline, I think, from this report, of course, is that the market has been weak, but we have been able to defend and protect our profitability quite well. I'll go directly to the variance analysis next. Headline revenue declined 8%, really 3 components that Antti already mentioned. It's the -- all negative now. Volumes were declining. Negative FX impact, mostly it's the weakening of the U.S. dollar, which is -- everybody knows about it and everybody has paid attention to it. But yes, it has been impacting us quite severely. And also a little bit on the product pricing as well about 1% on average for the quarter. Of course, these are the same components that impact profitability. In addition, there was a little bit of a higher variable costs impacting primarily our Fiber Essentials, and I will come back to that when I talk about the business unit comments. Fixed cost savings that Antti already alluded to regarding Packaging & Hygiene Solutions, where we really have had headcount reductions. But obviously, there have been fixed cost saving actions throughout the company that we have been doing to really protect the profitability during the quarter and for the year. Full year story, same component again. Of course, there, you have the addition that there is still the tail in the comparison period of the oil and gas business. So if you eliminate that part, the comparable decline 5%. And again, biggest contributors being the volume development and the U.S. dollar weakening. Then if we look at the year in totality, and we look at sort of the various components. Obviously, it's clear that the volume decline is more impactful during the second half of the year. So there was an acceleration in the business decline. And again, I will come back to those during the business comments. Sales prices actually have been relatively stable for the year. But in the first part of the year, the year-on-year comparison was quite negative. But if you look at the 1-year comparison, meaning Q4 '25 to Q4 2024, it's 1% decline. So overall, we are in a pretty stable pricing environment. It's really a volume issue that we are dealing with. And of course, this slide actually tells the same story. Prices and variable costs have significantly stabilized during the last 4 or 5 quarters. So you'll see that there's a fairly flat line when we had this huge peak during the COVID and supply chain problem years. Energy costs were sky high in '21, '22, but we are sort of putting that period of time into history, and we are now in a much more stable environment. And our crystal ball as far as we can say or see doesn't really indicate much of changes to this. I mentioned this comment after Q3, but I do it again. So it's really a volume game now for us. Volume increase the key to driving our profitability now and for us that is largely market dependent and it applies to all of our business units. We have capacity available in most of our plants and so any additional volume we can process without really adding any fixed costs for infrastructure. This means that if and hopefully when the markets improve, the operating leverage will help us with the bottom line. Having said that, you'll see that in the assumptions we are not yet foreseeing really a market recovery at this time. Antti mentioned the items affecting comparability. It's really -- we are also -- we are taking action because of the lower volumes. So we're taking action on our manufacturing assets. We're ramping down our production entirely in our Teesport U.K. site, resulting in an asset write-down, restructuring and closing provisions. We're also making an efficiency and automation investment in our Botlek site, resulting in a reduction of manual work and the related -- restructuring costs related to that as well. Fortunately, we had EUR 12 million environmental provision for a site that has been closed long time ago -- many years ago. More than decade ago in Finland where we actually disagree with the authorities of how the land remediation should be done. The land has been remediated and the polluted land impacted soil has been taken away, but there is a difference of opinion how that soil should be treated. We'll probably continue that dispute for a while. But we have now taken a provision for that -- for the worst-case scenario, least put it this way. All-in-all, this restructuring, streamlining and transaction costs add up to EUR 32 million within EBITDA and EUR 43.8 million within EBIT. And of course, the impact of that is driving EPS down for the quarter to just EUR 0.07 per share. And for the year, EUR 1.18, below previous years of EUR 1.61. Next, I'll go to the business unit commentary, as I promised, and I'll start with the Water Solutions. So first of all, let's start with a reminder of the basics. So in Water Solutions, we do have seasonality. So our particular municipal customers do treat less wastewater during the winter months and they require less of our chemicals. So that creates the seasonality that is within our Water Solutions business. Having said that, revenue was weak, particularly it was weaker in the industrial side. The revenue was down 9%. That's quite a significant decline. But more than half of that is attributable to our contracting volumes that we received from our oil and gas business acquirer. And their customer has had an operational issue. So it's not a loss of customer, it's a loss of -- its not a loss of business, but an operational issue that has dragged on longer than anybody expected. There was also some general weakness on the industrial side. Industrial production, in general, has been weak, in particular in Europe, and there are many processes where there are some wastewaters created that impact us in the industrial side. Urban water service in Europe was very stable. It is a very resilient business. There was a 4% organic decline in North America. And of course, in euro terms, clearly bigger in our numbers. So lower volumes impact the overall profitability, so that the operative EBITDA declined by 7%. Still operative margin at 18.5% for the business unit, slightly below the level of that last year. Next comments on PHS, Packaging & Hygiene Solutions. So challenging market continued. And year-on-year, the market was clearly softer and volumes impacted. Organic revenue declined 6%. Profitability has been protected by the measures that we have taken. We also have received and gained some new customer wins. So that has been helpful, but the market -- underlying market has been really soft. But the important point is that the market has now seems to it has bottomed up. It has not gotten any worse since Q3. It is not any better either. We saw, in fact, very little volume or very little price changes from Q3 to Q4. Profitability in Q4, slightly lower than in Q3, mainly due to product mix type of issues. I think, I commented that the product mix in Q3 was favorable. Now it was less favorable than in Q4. Q4 was less favorable than in Q3. And we're not done with the profitability improvement actions. So we are just implementing the new operating model as of beginning of this year, and we will be seeing benefits of that in the coming quarters as that is being implemented. Regarding regions, fair to say that APAC continues to be the biggest challenge. We see a particularly weak market in China with weak demand and with the local oversupply situation leading to much depressed prices and volumes. Regarding Fiber Essentials, environment has been weak for pulp chemicals, particularly here in the Nordics, which is a key market to us. Also market prices for base chemicals have remained low. For example, caustic soda is relatively important for us. For Fiber Essentials, there we have seen some price -- I'm sorry, variable cost increases -- raw material cost increases in the second half of the year. So it's really isolated to our sulfur products, but the increase has been quite significant. And that's the sort of one area where there is significant inflationary pressures. And it's enough that it's visible in the Fiber Essentials margins to some extent in the second half of the year. So again, looking at the full year, the volume decline, it's really in the second half of the year. And you see that the quarterly revenues have been -- have fallen to EUR 132 million, EUR 134 million range, whereas before that, we were clearly in the EUR 145 million, EUR 150-ish million per quarter run rate. And as the drop-through impact is quite significant, these are good gross margin products, but high fixed cost operating plans. So the volume -- any volume increase would have, obviously, positive impact to our profitability should -- and if and when that hopefully happens. All right. Moving to balance sheet. Now during '25, our net debt level has increased due to the acquisition of the Water Engineering and of course, the share buyback program that we had on the second half of the year. Then the smaller addition is that we actually inaugurated our new R&D facility in Espoo, here in Finland, with a 15-year lease. So that's added to our lease liabilities and reported as a part of debt obligations. ROCE that Antti was already talking about, return on capital employed, has come down to 16.5% due to this Water Engineering acquisitions. But of course, it's also heavily impacted by the reported EBIT or operative EBIT that we have, and those 2 components clearly impacting there. Cash flow from operations, EUR 127 million during the quarter and EUR 373 million for the year. Maybe a comment on the cash flow component. So our net working capital increased from previous year. We perhaps were not quite successful in reducing our inventory levels with the reduced volumes as the business was -- that business was experiencing. So obviously, trade payables are coming down, but if inventory levels remain roughly at the same level, it reflect as an increase in net working capital. And therefore, inventory levels will now need to be and are in the focus for us going into '26. There is some opportunity to tighten inventory rotation. CapEx fell just about where we expected and how we guided, slightly below EUR 200 million in '25. And now estimated '24, '26, it will increase slightly. We have some growth investments ongoing. And then, we are doing these modernization investments. I mentioned, the Botlek, but we have a few others as ongoing as well. Dividend, we have a strong track record of increasing our dividend. And now we are proposing increasing our dividend to EUR 0.76 to our Annual General Meeting. This increase is consistent with our dividend policy of paying a competitive dividend as well as increasing the dividend over time. And in recent years, the dividend has been paid in 2 installments, and we'll continue that practice. In addition to increasing our dividend, we're continuing to return capital to our shareholders through share buyback program. The purpose is to continue to optimize our capital structure. We have received almost universally positive feedback for the program that we initiated last year, and we feel that it's important that we continue to serve the interest of our diverse shareholder base. However, this is not limiting our desire or our ability to continue to execute our growth strategy. And again, it's evidenced by the 2 acquisitions that we have already done or announced -- and well, the first one is already completed. But the second one that we announced yesterday, we will continue to invest into organic growth opportunities when they are -- as well as inorganic growth opportunities. And again, this acquisition of SIDRA Wasserchemie for EUR 75 million approximately is a proof point of that. I will turn next to Antti, but before I do, I reflect a little. So this -- as Kiira said, it is my 50th and it's my last quarterly announcement. As announced, I will leave my position as Kemira's CFO at the end of March. So March 31, will be my last day of work. Looking back, I'm very proud of what Kemira has been and what Kemira has become during those 12.5 years. Kemira is much stronger, much better company, and I believe that Kemira has a really bright future. In this forum with you, our analysts and investors, there's one group of Kemira employees that I want to thank, and it's the IR officers. I had the privilege of working with during the years. So when I joined, started working with Tero Huovinen, then continued to work with Olli Turunen. Then up to quite recently with Mikko Pohjala, and now most recently with Kiira. Kemira's IR team has always been top-notch, and it's been my intention only to recruit the best that I can find in the market and been successful with that. And we've been able to maintain a top-notch IR practice for Kemira. And I'm really proud of that. And besides, the team has always been fun to work with. So thank you all. With that, now I'll turn to Antti.
Antti Salminen: Thank you, Petri. Yes. So then I'll finally say a couple of words about the strategy execution a bit more. Petri already quite nicely talked about the kind of the latest announced investment and how we are really committed to grow the company via both organic and inorganic investments. I'll elaborate a bit more on that. But just to remind everybody that these 3 cornerstones are the focus areas of the strategy. So expanding the water business, there's plenty of evidence of that, and we continue to work on that. Then building our presence as the leading provider of renewable chemistry in our target markets and even more widely. So clearly, we have been recognized as one of the big leaders in the world on this area, and we continue to work on that. We have a lot of good progress on innovation projects, both in-house and with external partners on that domain and solutions that have been proven not only in lab, but in extensive customer trials. So I'm expecting quite a lot of positive things to come back for the future growth in coming years. And then thirdly, investing kind of into these new adjacent high-growth market areas, tapping or unlocking the growth potential from those areas where we have clear right to win, which are part of kind of our domain, but where we have been historically out of. And the NVS, New Ventures & Services, unit has been actively working on this, and there's a lot of good stuff in the pipeline there as well for the future growth. Then looking at a bit on a time line, basically the time since '22 when we have been executing the growth strategy, which we then sharpened 2 years ago a bit more. But basically, we've been constantly investing into the focus growth areas stated in the strategy. It started from the acquisition of the SimAnalytics, which basically has strengthened our position in the digital services area for the water business, so being present and growing our position in there. Then continued with organic investments into coagulant capacity, so that's the core -- the resilient core of our water business, so we continuously invest in there. And as Petri said then, we have capacity, we are able to benefit from the market recovery when it happens without adding fixed costs as we are -- have been building the capacity for that. Then entering into the micropollutants removal area, so small first acquisition in the U.K. and then continuing with organic investments for that area. So clear commitment to grow in that area as well. And then lately, the entry into the fast-growing industrial water services market in North America via Water Engineering. And as I already mentioned, that's a platform acquisition. So we have a really healthy pipeline of small and also some bit bigger bolt-on acquisitions and first example already happened in the first week of January. So progressing very well on that area. And then the last announcement 2 days ago regarding SIDRA. So again, strengthening the core, increasing our position -- improving our position in the water business and basically on the path to grow the significance of water business in our portfolio. So lot of things have happened, and our aim is to further accelerate the execution of strategy, so working on these growth initiatives, which is enabled by our strong financials and strong profitability despite the weak market. So I think this is exactly the time when the markets are soft, when basically we need to continue to believe in our strategy and invest in these growth activities to make us able to capitalize on the growth when the markets get healthier. So this is clearly essential for us, and we continue to be committed to that. So the 3 business units have clearly separate, different roles in the strategy execution, as mentioned already, Water Solutions being the growth engine. We will continue to invest both organically and inorganically to growth in Water Solutions. Short-term Packaging & Hygiene Solutions, the profitability improvement is the key target. But then also the packaging board markets which we serve are now in the basically historical low point and the world will need packaging materials. So that business unit has growth potential when the market ultimately recovers. And then Fiber Essentials, clearly a profitable cash flow generation unit, enabling us to invest into growth in other areas. So to close this with our outlook for '26, amid the uncertainty and fussiness of all the possible crystal balls, our -- we expect the revenue to be between EUR 2.6 billion and EUR 3 billion and the EBITDA -- operative EBITDA between EUR 470 million and EUR 570 million. So clearly, kind of you will see from here as well that it's very difficult to predict the market, but this is our outlook to the year. It assumes this continuation of global economic uncertainty and the softer volumes and basically, especially the impact being heavy on pulp and paper, but also on the industrial water markets. We assume stable raw material environment, as Petri already alluded to, so basically no big swings from there. And thus, this is the outlook that we give for this ongoing year. So with this, thank you very much. And finally, once more big thanks to Petri. He's been elementary in this growth journey and making the company the good company it is today, completely different compared to 12 years ago, as he mentioned already. But I have to personally thank Petri for the past 2 years because he's been the kind of a brick wall that I could always lean on as a new CEO and giving me the confidence that no matter if I miss some details here or there, he will always be there to support me and correct me. So very big thanks, Petri, for these past 2 years. And then with this, we move on to Q&A.
Kiira Froberg: Okay. Thank you, Antti, and thank you also, Petri. And now we are then ready for the questions. So I think we could start from the line. So operator, please go ahead. And we will, of course, also take questions through the chat. So those will be coming also.
Operator: [Operator Instructions] The next question comes from Andres Castanos from Berenberg.
Andres Castanos-Mollor: Petri, first of all, best of wishes for the future. And also congratulations to the company and to you on all the bold actions on the finance side, M&A, buybacks, dividend increase, the full lot. So well done there. My question will be first one on M&A, please. Can you please put some numbers to the U.S. pipeline, the water pipeline there? How much money can you possibly deploy there in the next year ahead? Also, I would love a comment on the Germany deal that you announced yesterday. It seems like a rare opportunity. Do you think this could be replicated similar deals like this one?
Antti Salminen: Well, I'll start, and then I'll let Petri comment on the kind of -- especially how much we can allocate to this. But as I mentioned, the pipeline is very healthy. And we've already mentioned that these kind of small bolt-ons like -- the AquaBlue is a very good example of roughly size of a single deal. So they are in the range of EUR 10 million annual revenue type of -- hovering a bit lower, a bit higher typically. And I've also mentioned earlier that we have a solid pipeline, and the aim is to execute several of those every year going forward, so that's basically giving you the basic -- the idea. And then there are couple of bigger ones also in the pipeline, which then would change the pattern. But basically, it's a solid programmatic growth ambition that we have there. And then regarding the SIDRA type, so we've -- all the time, we have said that we actively look at the base business, coagulant market and look for opportunities. There are not too many, but each and every one, we will act on. You already saw that Thatcher in North America earlier. And then we have now the SIDRA, which is, I think, really good strengthening of our Central European business. So we will -- we are actively monitoring the market. We know all the players there. And when something is suitable becomes available, we will promptly act on that.
Petri Castrén: Yes. I don't know if I have much to add. But the AquaBlue type companies, there are probably a couple of hundred or a few hundreds in North America. And theoretically, almost everyone -- not everyone, but -- so it's the beginning of the pipeline. Then as the pipeline is progressed. But I have seen long lists that have 20, 30 names in it. Currently, short list is obviously shorter. It needs to be shorter. But like Antti said, these type of deals is really where we have the strong natural platform executing the EUR 10 million, EUR 20 million type revenue companies, and there are multiple those cases. And of course, from the finances point of view, balance sheet point of view, we have no restrictions on executing on that one. And so that certainly continues. Obviously, if we are looking at the Water Engineering pipe, which was well over EUR 100 million type of investment, then those would be looked at little bit differently. There's -- that's progressed in a different way in our M&A process.
Andres Castanos-Mollor: A second question, if I may, please, on margin trajectory in the water business. You mentioned some seasonality, and I wonder is that it? Should we see a rebound in Q1 versus Q4 on margins? And also, can you comment on the margins of the acquired companies that you have acquired so far? Are they accretive to the current water business margins?
Petri Castrén: Well, I can start with...
Antti Salminen: With the seasonality...
Petri Castrén: Yes, in water business.
Antti Salminen: And then again pass on to you. So basically, the water business has this natural seasonality because big part of the water business is especially on the urban municipal side is weather dependent. And -- but there are also other things, and I will talk a little bit more about them. But basically, typically, the summer months are the strongest or the summer quarters are the strongest quarters. And then the winter quarters are always a bit weaker, and especially Q4 being typically historically and especially in North America, the weakest one. So it's partly weather dependent. There's less water in the systems, but especially kind of entering into this water -- industrial water services business, there's also the industrial patterns because a lot of that business is in cooling towers, for instance. And when you have cold months, you have less need for cooling in industrial applications. Also, there's a lot of business in the services part business, which has to do with the -- there's a lot of pools in U.S. So basically, again, pools are not used in winter time and so forth. So it will only strengthen the seasonality, I think, in the water business, this entry into the services area.
Petri Castrén: And so Andres, if your question was really regarding the pipeline of these services companies, they actually vary quite a bit. They vary from the low teens to 40% EBITDA margin in the business. And it often depends on how much product and possibly equipment sales they have in it or whether it's pure services where the margins tend to be higher. So I don't think I can give you an universal answer on the types of margins that you see. But philosophically, we don't want to dilute our profitability with these acquisitions. So even if the coming in margin is lower than ours, there needs to be synergies that get to our sort of at least average group margins.
Operator: The next question comes from Tomi Railo from DNB Carnegie.
Tomi Railo: It's Tomi from DNB Carnegie. And thank you also Petri from my side it's been absolutely a pleasure to present a short while...
Kiira Froberg: Now we can't really hear you, Tomi. Could you please repeat your question?
Tomi Railo: Can you hear me now better?
Kiira Froberg: Yes, we can hear you now. We heard the thank you part. But then when you started to ask your question, we lost you.
Tomi Railo: Okay. Maybe that's a signal. But the question is simply, was there something still extraordinary in the water clean that you booked kind of in the clean EBITDA? You mentioned some of the items, but or was it just a very clean, clean number what you reported?
Petri Castrén: I would say that it's clean. And of course, during the Q4, you always tend to look at your inventories and you tend to get some invoices from your customer -- suppliers that hadn't been accrued for small amounts. So we have a fondness of talking about 13th month, it's not 13th month. But there is typically some new expenses that come in December time frame we usually plan for -- or we plan for that, but there's a little bit of unknown. But I would call that in -- put that in the level of noise, particularly for Water Solutions.
Tomi Railo: Okay. And the second question on the outlook. I'm just trying to make a sense. You mentioned that kind of the softness accelerated in the fourth quarter from the third quarter. But then when I'm reading your kind of outlook commentary, it doesn't really sound that the market has changed for worse. Actually, you also mentioned yourself that it's stable. So kind of is the market now stable, what you believe? Or is there still some further weakening?
Petri Castrén: Let me correct first -- correct me first and then I think it's more appropriate that Antti talks about the outlook. I probably may have miscommunicated a bit poorly. What I meant to say that the volume decline was higher in the second half versus the first half. And this was clearly driven in Nordics by the pulp mill, not closures, but...
Kiira Froberg: Downtime.
Petri Castrén: Downtime -- thank you for the word -- as well as the contracting volume decline in industrial. And then perhaps there was some more industrial decline in water service in second half. But if you sort of -- I recognize accelerate is probably the wrong word. So it was not accelerating. So third quarter to fourth quarter, there was no acceleration. So let me correct that if I communicated that poorly. But then I'll let Antti talk about the outlook.
Antti Salminen: Yes, yes. And as I said when I introduced the outlook, so basically, if anything, the visibility is really poor. So commenting to this or that direction, whether we see kind of an improvement or declining, it is -- the visibility is really poor. But as Petri mentioned, I think many indicators from the market show that this -- we believe that this is kind of the bottom level. We haven't seen any significant further weakening, but we haven't seen really any kind of bright signs for -- at least for the first half of the year either. And there, I would, again, as we discussed earlier, so Tomi, I would recommend to look at what our big key customers have stated about market because, of course, they see it first and we get hit in kind of upper in the value chain of those phenomenon. So basically, you can read that, and that's the kind of crystal ball we have.
Tomi Railo: Of course. Just a follow-up. If you could give kind of price and volume assumptions into '26, what you are saying? I hear you that kind of it's a volume game, but would you assume that pricing is down or stable in this environment? Or what's kind of price and volume assumption, maybe if there's something.
Petri Castrén: I already offered my view of the crystal ball, and it's pretty stable, and it has been stable for the last 4 or 5 quarters, and we don't see changes to that. And that applies both to pricing environment and the variable cost environment.
Kiira Froberg: Thank you. Let's now take the next question from the line, please.
Operator: The next question comes from Joni Sandvall from Nordea.
Joni Sandvall: A couple of questions from my side. In BHS, you mentioned the continued improvement, what you have started now with the new operating model kicking in from '26. So if I remember correctly, you maybe have mentioned around 15% EBITDA margin target by end of '26 is still valid with the current market environment?
Antti Salminen: Market environment, of course, plays a role there, but that's the ambition level that we have been talking about. So I mean, if you look at from the group perspective, that's the expectation. Now whether the market support reaching that exactly during the last quarter of '26 or later in '27, that depends, but that's the ambition level that we have set for.
Joni Sandvall: Okay. That's clear. Then maybe a question on the energy prices have been spiking both in the Nordics and in Europe. Are you seeing any support for yourself through the pricing now in H1?
Petri Castrén: Well, the weather forecast, I was looking for it to be snowy for the weekend, but then I heard that the weather forecast changed. It's not getting more snow. I'm looking for the cross-country skiing next weekend. Honestly, let's not get excited about -- too excited about a 1 month of cold weather in Finland and Europe. So I think we have to look at the bigger picture and longer period of time. It is true that in the Fiber Essentials, typically, our customers do benefit -- also customers benefit of high energy because they do produce energy, electricity while their pulp mills are operating. So that's sort of an ongoing market commentary that I can say. But really regarding a crystal ball for the weather, for the remaining of the year, don't know -- we don't have that.
Joni Sandvall: Okay. That's clear. Then maybe on the Fiber Essentials, also a question on -- because your sales were declining now in Q4, so could you give any indication how large part of this was driven by lower utilization ratios of the Nordic pulp mills in Q4, which is -- it's not typical that those are curtailed during Q4?
Petri Castrén: It's not typical, but they were. So Latin America, there's no change. There's, obviously, some currency impacts year-on-year from North America. But honestly, I would -- I don't have the data now, the breakdown in my head. But it's mostly Europe. It's mostly Nordic.
Antti Salminen: It is really mostly Europe. So basically, the -- as Petri said, the Latin America, there was no change quarter-on-quarter in terms of our delivery volumes. In North America, we actually improved a bit in quarter 4, if anything. So it's really coming predominantly from the Nordics.
Joni Sandvall: Okay. And then maybe lastly, quickly and for Petri about your supplementary pension fund returns expectations for '26?
Petri Castrén: Well, we are expecting to receive another EUR 10 million of return from capital because the fund is roughly EUR 100 million overfunded. So we are unwinding the overfunding slowly and gradually. Obviously, continue to invest smartly. And I trust my successors will continue to do that. So the pension fund is in good shape. So no issue there.
Kiira Froberg: Thank you, Joni. We now have a few minutes time to take some questions from the chat. And I think that we could start with the Fiber Essentials team. So the question is, do you expect volume recovery in Fiber Essentials in early '26, given that pulp wood prices in the Nordic area are clearly down, supporting profitability of pulp mills in the region?
Antti Salminen: Well, I mean, again, I would refer back to what our customers in that business have announced and said. But clearly, I mean, as Petri already mentioned, it's favorable for the Nordic pulp mills to run as full as possible in the cold winter months as they produce electricity as well. So basically, typically, the first quarter is volume-wise a strong one. And then, of course, the kind of decreased wood prices should be supporting the business of our customers also going further into the year. So of course, we dearly and truly hope that the volumes are improving as a result of this phenomena. But it's really up to our customers.
Kiira Froberg: Yes. There's another question, which is related to the Water Solutions business, and I think that we've covered the seasonality part yet. But this is related now to the measures or the kind of like items affecting comparability. That's how I read this. So could you come back on the measures to increase production capacity in the Water division and why these measures make sense despite the lower volumes and lackluster demand in water. So maybe kind of like why these sites and...
Petri Castrén: So let me -- I'll cover the 2 items affecting comparability. So Teesport U.K. has been a site with low-capacity utilization for quite some time. Let's be honest about that one. And we have reviewed -- and now what we have made a decision that it's sort of now falling below the threshold, and we are moving the production from particularly some deformers from that site to another site in Europe. So we are closing that site entirely. So we are obviously reducing fixed cost significantly with the closure of that site. So I think that's fairly obvious. Then in Botlek, Netherlands, we are not closing a site. We're actually investing into a site. But it's a site with a relatively high fixed cost because -- I mean, it's Netherlands. The salaries are relatively high there. And we are doing an automation investment. So what has been a fairly manual process, we are automating and, in the process, we are eliminating manual work and its fairly significant or big enough number of employees that it actually makes a difference. And so it's -- there, we -- I'm not sure if we are investing into capacity addition. I think it's, we call it improvement and automation investment. So it's not capacity constrained that particular site. It's really an efficiency improvement with a quite decent payback period.
Antti Salminen: Exactly. And then if I continue on the -- if you look at the kind of couple of years' timeline and the coagulant investments that we have been doing into Water Solutions. So we have been there. I mean, the growth -- the population in Europe is not growing. The per capita water consumption is not growing, but the regulation is getting tighter. So basically, we have been doing this investment or initiating them when we see the regulation on certain part of Europe changing. It's not same even if the EU regulation is the same, but the application in jurisdictions is different. So that's why we have twice expanded the coagulant capacity in U.K. The first one, we sold immediately to practically full utilization, that's why we did the second capacity expansion. Same goes for the Iberia, the Tarragona site. So there are certain factors in the regulation and the market that drive the demand. And we do kind of very targeted, relatively small add-on capacity investments on existing site to capitalize on those pockets of market that we see the growth potentially.
Kiira Froberg: Thank you. Let's now take one last question from the chat, and it's about the Packaging & Hygiene Solutions profitability program or profitability improvement program. So can you comment on the progress? How much more work is there to be done? And when are you expecting the full impact to kick in?
Antti Salminen: Well, I'll start and then if there's something that Petri wants to add. But basically, I mean, it has progressed in phase. So what we did last year is that we basically found the kind of so-called low-hanging fruit in terms of cost both in the business unit itself and then on the operations side that are supporting it, and those we kind of had implemented. So the run rate should be kind of built into this year's numbers. We similarly found some kind of new add on top line, which basically was realized. Those contracts were negotiated and closed last year. So basically, again, us, the customers change suppliers, we should see the revenues in this year's numbers. But then the next phase of that is the new operating model, which we have implemented where we basically changed also the structure and basically how we serve the customers, giving better service for our key customers, the key accounts and then streamlining the service levels for the kind of tail end. That work, the implementation is going -- ongoing as we speak. So that happens during the Q1 and then the results would be visible later in the year. And then the business unit management has in pipeline the next round as well because this is a kind of continuous process of when we kind of put something in the shape, then we realize that there are other things that can be further improved. So we will continuously work on that. But gradually during the year those benefits will be visible. And some of them in '27 only also. So this is a long process.
Kiira Froberg: Yes. Thank you. Unfortunately, we are running out of time. So we will start to conclude the conference. And if there are any other questions you know where to find the Investor Relations. So please be in touch. And we have a pretty full roadshow agenda coming in now after the earnings. So we will start with Petri next week in Geneva. So there are still plenty of opportunities to meet also Petri. And Antti and myself, we will be back here in our results studio in connection with our Q1 report, which will be published on April 24. And we, of course, hope that Petri will be cheering for us maybe from the golf course or I don't know. Thank you all. Have a great day.
Antti Salminen: Thank you.
Petri Castrén: Thank you.